Ignacio Cuenca Arambarri: [Foreign Language]. Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2025 first quarter results presentations. As usual, we will follow the traditional format given in our events. We are going to begin with an overview of the results and the main developments during the period given by the top executive team that usually is with us, Mr. Ignacio Galan, Executive Chairman; Mr. Armando Martinez, CEO; and finally, Mr. Pepe Sainz, CFO. Following this, we'll move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web. So please ask your question only through our web page, www.iberdrola.com. Finally, we expect that our web event will not last more than 60 minutes. If any questions remain unanswered, we at IR are as always, fully at your disposal. Hoping that this presentation will be useful and informative for all of you. Now without further ado, I would like to give the floor to Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Ignacio Sanchez Galan: Thank you, Ignacio. Good morning, everyone, and thank you very much for joining to this call. I would like to start thinking and recognizing the excellent work of more than 2,000 professionals of Iberdrola, which have already restored the electricity in Spain after the blackout suffered two days ago. At all times, our generation plants were available to operate under the instruction of the system operator at Electrica. Also, our distribution networks were also connecting and restoring the service progressively in the existing -- as the existing operator, who is responsible of the operations as us to do it. Moving to results. In the first quarter 2025, net profit reached €2,004 million, 26% up year-on-year, excluding the capital gains from last year's divestment of thermal generation. And reported EBITDA was €4,643 million, also 12% up in like-to-like terms mainly by driven the strong operating performance in Networks, we represent 52% of EBITDA through March and higher generation volumes for new assets in operation in the U.S., Iberia and the rest of the world, partially offset by the normalization of margins in the United Kingdom, especially in Iberia, resulting 70% decrease in EBITDA in Spain. Investments were up by 14%, hitting a new record of €2,720 million in just one quarter and €17,300 million in the last 12 months, thanks to 30% increase in the U.S. and U.K. over the quarter, which together represent two-thirds of our total investment. By businesses, Network investment were up 18%, mainly driven by 30% increase in the U.K. both in transmission and distribution. Renewables investment rose by 7%, with Offshore wind up 50% due to project under construction in the U.S. and U.K. and Germany. All of which will be operating in 2025 and 2026. In addition, we received a final approval from U.K. Competition and Market Authority for the integration of Electricity North West has been fully consolidated in our account since March. As a result, our regulatory asset base in U.K. has now reached €15.5 billion, more than doubling in just five years. Thanks to the contribution of new investment, cash flow increased by 11% with respect to the first quarter 2024 to €3,502 million, leading to financial ratios that are fully consistent with our BBB+ rating. As mentioned, EBITDA reached €4,643 million, 12% up with almost 50% coming from the U.S. and U.K. mainly to the strong growth in our Networks asset base in both regions, offsetting the decreased Spain results. As a consequence, Networks contributed more than 50% of total EBITDA, almost 10 points above the average of the last five years. EBITDA in the businesses also includes a positive impact to the recognition of past costs in the U.S. Production and customers operating results reflect 2,600 installed over the last 12 months, of which 660 come from an offset -- offshore wind. And increased production in the U.S., Iberia, France, Germany and Australia, offsetting the normalization of margins in the U.K. and Iberia. Finally, we continue closing new PPAs with Tier 1 customers with more than 4 terawatt hours per annum signed in the last 12 months, reaching a total portfolio of around 40 terawatt hours per annum to be supplied per annum in the following years. The record investment figures achieved in this first quarter, more than €2.7 billion are mainly due to our strong expansion in Networks with €1,432 million invested through March, up 18% over first quarter 2024 and more than 50% above the average of the last five years, mainly driven by the U.S. and U.K., which represent more than two-thirds of the total after doubling investment levels over the past five years. This increase will accelerate in the coming quarters, given the huge investment commitments in both countries. In the U.K., we are progressing with again, in the approval process RIIO-T3 which is expected to support present expansion of transmission infrastructure between 2026 and 2031, and we foresee a similar trend in distribution. Recently, Ofgem approved €200 million in additional investment for the ScottishPower distribution licenses, including Electricity North West. In the United States, Network investment increased by 10% with €241 invested in Transmission, mainly in the NECEC interconnection between Massachusetts and Canada. In this project, all foundation and poles have been already installed and the DC line and we continue progressing the converter station and other facilities, expected to have this infrastructure fully operational by the year-end. Avangrid distribution investment have reached close to €100 million, 80% in the state of New York where all our companies are reaching and exceeding the headline return of equity set in the rate cases. In Brazil, the regulator has approved a new tariff review in Pernambuco for the next four years and annual rate adjustments in Bahia & Rio Grande do Norte. That together will add at least €100 million operating result per annum, increasing [indiscernible] EBITDA by 10% on an annual basis with this adjustment. In addition, the renewal process for distribution concession is progressing as expected. Our total regulated asset base reached €49 billion, reflecting the organic growth already mentioned and the consolidation of electricity in North West, which contributes €3.4 billion to our asset base and is expected to add around €450 million of EBITDA per annum exceeding initial expectations. Following this excellent performance, Electricity North West recently received the Utility of the Year Award by Utility Week and was ranked #1 in performance benchmark in all U.K. distribution companies, followed by the others to ScottishPower licenses in Scotland and England and Wales, which were ranked second and third. Biographies U.S. and U.K. already contribute 60% of our regulated asset base, which is expected to exceed €51 billion by the year-end. Investment in Renewables increased by 7%, up to €1,064 million, with two-thirds is in United Kingdom and United States. More than 50% of Renewables investment were allocated to Offshore wind, mainly the construction of Vineyard Wind in the U.S., which will be fully operational by year-end, East Anglia Two and Three in the U.K. and the rest in Windanker in Germany. Offshore wind accounted by 28% of total investment, more than the U.S. and the U.K. And Solar PV represent 21%, highly diversified between the U.S., Iberia, other countries in Continental Europe and Australia. All this investment continued to progress as scheduled even in the current supply chain scenario, thanks to our procurement strategy. Base or local suppliers represent 80% of our total purchase and the anticipation of business needs through detailed planning processes, securing all the strategic contracts in advance. This strategy is also protecting us from current global trade dynamics. Accordingly, we expect no impact from a new tariff in our product -- in our results, with a maximum increase of just $130 million in the group investment cost or less than 1% of our total annual CapEx, clearly, within our total -- our planned contingency levels. Related to 10% of our investment in our onshore wind and solar PV projects under construction in the U.S. where we have clauses in our contract with suppliers that will allow us to reduce this amount. We do also expect any impact in transmission and distribution investment as 99% of the U.S. purchase are local and this business are regulated. In our offshore wind, where 100% of the supply chain of Vineyard Wind 1 is already fully secured. Our strong increase in Networks investment and our selective approach to renewables is also driving a structural improvement in our cash generation profile and financial ratios. In Renewables, we expect the completion of major projects under construction will reduce by 50%, the work in progress in the business -- in this business over the next two years from €8.6 billion to date to between €4 billion and €5 billion by the end of the 2026. In addition, these new assets will add around €100 million of EBITDA on an annual basis, both in 2025 and 2026 for a total of €1.6 billion from 2027, mainly coming from the Offshore Wind project of East Anglia Three in the U.K., Vineyard Wind in the U.S. and Baltic Eagle and Windanker in Germany, which have already closed long-term PPAs of CFDs, providing significant stability to revenues and profits. All this will drive a substantial increase in our return on investment in these businesses and in our overall financial strength. That will continue improving, thanks to our focus on networks where we expect to invest more than €13 billion in 2025 and 2026. As 90% of this investment will have a positive impact on return and cash from year one including 100% Network investment in the U.K. and all investments related to rate case in the U.S. plus NECEC interconnection project beginning in 2026. Our strong operating performance and the acceleration of cash recovery has driven 11% increase in funds from operations to €3,502 million, allowing us to maintain our financial ratio in line with our plan and with our BBB+ rating after the consolidation of electricity in North West and the purchase of agreed minorities. With FFO/adjusted net debt of 22.3%, in addition, our liquidity remains at €21 billion enough to cover 19 months of financial needs. I will now hand over to our CFO, Pepe Sainz, who will present the group financial result in more detail. Thank you. Pepe?
Jose Sainz Armada: Thank you, Chairman. Good morning to everybody. As the Chairman has said, the first quarter 2025 net income reached €2,004 million and grew 26% once compared to the first quarter of '24 adjusted net income, excluding the thermal generation asset divestment. As main change of the perimeter, let me highlight that the ENW is fully consolidated since March. FX evolution has had a minor effect on results with the dollar and the pound growing 3.8% and 2.8% and the Brazilian real being 13% lower. A 1% increase in revenues, mainly in the Network business due to the U.S. recovery of past costs combined with a 3% decrease in procurements, boosted gross margin by 5% to €7.2 billion. 1.7% -- sorry, €1.7 billion thermal generation asset divestments in Q1 of '24 positively impacted reported net operating expenses. Excluding it, first quarter '25 net operating expenses decreased 10.4%, mainly due to the €176 million lower storm costs in the U.S. that is neutral at the EBITDA level as it always lower -- as it also lowers the gross margin. Net personnel expenses decreased 0.4%. External services fell 9.8%, and other operating income grew 30% due to indemnities of past year costs. Excluding also the mentioned reconciliation impacts and other minor, net operating expenses improved 0.9%. Analyzing the results of the different businesses and starting by Networks, its EBITDA grew 43% to €2,415 million with better performance in the U.K. and in the U.S. In the U.K., EBITDA increased 10.8% to £339 million excluding £35 million positive net contribution from ENW effective since March and higher contribution in distribution, thanks to higher RAV, and that more than compensates negative contribution from transmission due to the Cap Allowance application. In the U.S., EBITDA reached $1,054 million with higher tariffs and better contribution from transmission and positively impacted by the new decision from the New York regulator that allows us to register regulatory assets regarding past costs already accrued and registered under U.S. GAAP. In Brazil, EBITDA increased 12.6% to BRL 3,684 million that in euros is a small fall with higher inflation over a higher asset base and positive contribution from transmission and construction as construction of transmission business -- transmission lines progresses. In Spain, EBITDA fell 1% to €400 million. Our operating performance was in line with last year. In the first quarter, energy production and customer business EBITDA reached €2.2 billion compared to the €4.1 billion of last year. That included the already mentioned €1.7 billion thermal divestment capital gain. Excluding it, as you can see in the slide, the first quarter in '25 EBITDA fell 9% compared to the adjusted first quarter of '24. The business reached 89% emission-free generation. In Iberia, EBITDA was €1,035 million, 15.3% down with a slightly higher production, partially offsetting margin normalization and 3% higher levels -- levies, even despite 1.2% revenue tax termination. As end of April, Iberdrola had record hydro reserves 9 terawatt hours, which will help the performance of the group in '25. In the U.K., EBITDA fell 17.2% to £426 million with lower wind resource, both in onshore and offshore and lower prices, partially compensated by lower windfall tax. In the U.S. EBITDA increased 35% to $286 million with better wind and solar performance and also some timing helps -- some timing effects, helping EBITDA growth despite the fact that in Q1 of '24 was positively impacted by the Altek Blast storm one-off of $37 million. In the rest of the world, EBITDA grew 25.3% to €229 million with a 76% higher offshore production due to the gradual ending operation of Saint-Brieuc in France and Baltic Eagle in Germany, both of them offshore wind farms. In Brazil, EBITDA decreased 40% to BRL 254 million with lower thermal contribution from Termope, our only CCGT in operation compared to a strong '24 first quarter. Finally, in Mexico, EBITDA reached $144 million, 93% lower contribution compared to last year. That included a thermal asset capital gain and only 17% excluding this capital gain as the remaining business was favored also by some indemnities of past costs. Depreciation and amortization and provisions grew 2%, driven by a higher asset base in Networks and new operating capacity in Renewables, partially compensated by lower depreciation of around €30 million, thanks to full year '24 adjustments and lower bad debt provisions in Spain and in the U.K. EBIT reached €3.2 billion and grew 17% on an adjusted terms. Net financial results improved €16 million to €508 million, thanks to non-debt-related costs that improved €91 million, mainly linked to the FX derivatives that we usually close at the first part of the year due to our P&L hedges. This is more than offset the debt-related costs that grew €75 million due to the higher average net debt, while interest-related costs has been compensated by the FX due to the depreciation, especially of the Brazilian real. Our reported credit metrics remain comfortable within ratios for BBB/Baa1 even after the ENW consolidation from March, mainly thanks to our cash flow generation with 11% higher FFO, offsetting higher net debt, mainly linked to the mentioned €2.3 billion ENW consolidation and €0.8 billion called hybrid bond. As a consequence our ratios remain strong, and we expect to remain in these levels by the year-end. FFO adjusted net debt reached 22.3%. Adjusted net debt to EBITDA reached 3.5x and our adjusted leverage ratio was 47% -- 47.3%. We are also expecting that according to plan, debt will end the year around these levels. Net profit grew 26% to €2,004 million on an adjusted terms compared to €1.6 billion adjusted first quarter '24 net profit. Equity method includes €25 million corresponding to two months of contribution of ENW, while from March, as mentioned before, ENW contribution is already at the EBITDA level. In addition, financial results improved 3%, while our tax rate normalized to usual levels and minorities were lower as a consequence of the 28 -- of the 18% Avangrid acquisition. Now the Chairman will conclude the presentation. Thank you very much.
Ignacio Sanchez Galan: Thank you, Pepe. Following this first quarter result, in the coming quarters, we expect to continue growing and reinforcing our financial strength with Networks as main driver, thanks to a double-digit increase in our regulated asset base in just one year, reaching more than €51 billion and the positive outcome of new rate cases as we recently saw in Brazil. The clear outward trend in demand across all regions will reinforce the need of new infrastructure. It will benefit our energy production and customer business where we will have 4,000 megawatt fully operational in 2025. With better win factors expected in Northern Europe, especially in the United Kingdom after a very low first quarter. In Iberia, hydro reserves are at record levels of 9,000-terawatt hours today, as Pepe mentioned, that will secure our production for the second half. Also, 100% of our production in the whole 2025 is already sold as agreed prices. All these factors will continue improving our cash generation after 11% growth achieved in the first quarter. New renewable assets in operation will contribute additional cash in the coming quarters and reduce our work in progress in these businesses. And we will increase the share of investment in Networks project, the generic cash flow from the year one. Additionally, we expect to continue our asset rotation in line with the plans following recent action like sale of Maine Natural Gas and the partnership with Kansai in our Windanker offshore wind farm in Germany. Cash a few days ago will allow us to continue executing our investment plan and preserve our financial strength. As a result, today, we'll reaffirm our net profit guidance of mid- to high single-digit growth, excluding capital gain from asset rotation, even without considering the positive impact already mentioned from the recognition of past costs in the U.S. If we include this impact, we expect to reach double-digit growth in net profit in 2025. With progressive acceleration of the second half of the year, this will result in a very different quarterly profile compared to last year, especially in reported net profit. Given the strong impact of the capital gains from the divestment of thermal generation in the first quarter 2024. We expect to accelerate this growth over the coming years. In the current macroeconomic scenario, our government are looking for substantial economic growth, and this is driving massive investment infrastructure. Especially in sectors which the lowest exposure to global trade dynamics as electricity. We saw last month in CERAWeek conference in Houston or during the summit jointly organized by U.K. government and the international agency in London last week, we brought together more than 60 governments and the largest global energy companies, including Iberdrola. And insecurity has become a decisive component of national security, compelling all countries to prioritize any autonomy. And as we have been saying, electrification is right answer to these global energy challenges to this potential to reduce external dependency, geopolitical risk and price volatility linked to fossil fuels. Increased security and sales efficiency, improved competitiveness to the higher efficiency of electricity compared to other sources of energy and promote local industries and job across the supply chains. And deliver tangible benefits in terms of affordability and price stability, thanks to the market mechanisms such as PPA and CFDs. Iberdrola is optimally positioned to provide long-term growth in this scenario, building on our track record of more than two decades of sustained increase in resulting dividends. Driven by a clear strategy focused on regulated networks and select approach to renewable investment with supply chain secured, thanks to the anticipation of procurement needs and established relationship with major suppliers of the industry. And benefiting from our geographical diversification with U.S. and U.K. as our key growth drivers and with a strong presence in Continental Europe, Latin America and Australia, markets in which our scale and relevance allow us to have direct and fluent relationship with key suppliers, financial institution, government regulators. We will continue combining growth and financial strength, thanks to cash flow generation, our active debt management and our asset rotation strategy, allowing us to reinforce our strong financial position or our BBB+ rating. We'll continue to report on all these developments in the coming quarters. So thank you very much. Now I finish, thank you for your attention, and now we are ready to any questions you may have. Thank you.
A - Ignacio Cuenca Arambarri: Now we're starting with the Q&A session. I would like to introduce the following financial professionals that have asked the upcoming questions. Gonzalo Sanchez-Bordona, UBS; Fernando Lafuente, Alantra; Alberto Gandolfi, Goldman Sachs; Manuel Palomo, BNP Paribas; Meike Becker, HSBC; Rob Pulleyn, Morgan Stanley; Philippe Ourpatian, ODDO; Pedro Alves, CaixaBank BPI; Jorge Guimaraes, JB Capital Markets; Javier Garrido, JPMorgan; Javier Suarez, Mediobanca; Fernando Garcia, Royal Bank of Canada; Jose Javier Ruiz, Barclays; James Brand, Deutsche Bank; and finally Andrew Moulder, CreditSights. The first question is related to the -- can you please provide a little more clarity on the net profit guidance for the end of 2025?
Ignacio Sanchez Galan: So the guidance I mentioned is we reaffirm our mid- to high-single-digit, excluding the past cost recognition in the U.S. Including this impact, we expect net profit to grow at double digit. In all cases, guidance exclude capital gains from asset rotations.
Ignacio Cuenca Arambarri: Second question as well on guidance, could you please explain which are the key elements which will provide the mid- to high single-digit growth for this year?
Ignacio Sanchez Galan: So I think the first one is action taken during the past 2024. So I think we take certain actions, certain decision which is affecting positive 2024. I think we have already things electricity renewal transaction, the full acquisition of Avangrid minorities last year, efficiency measures that we took already during 2024. And of course, I think in 2025 is our organic growth, higher regulated asset base in all countries, we expect surpass to €51 billion, as I mentioned before, more than 4,000 megawatts of new capacity operating contributing to EBITDA. And I think we expect that, that is going to continue during the second part of the year. But nevertheless, Pepe, you would like to provide more details, you can already provide more details of this.
Jose Sainz Armada: Yes. As the Chairman has said, we are expecting -- if you look to the numbers and you multiply by four, we are expecting more than €150 million coming from the contribution of ENW. We are also expecting an additional over €100 million coming from the recurring net profit of the full ownership of Avangrid. And also an improvement in net profit due to lower operating and depreciation expenses linked to the '24 adjustments that we did. As you can see in this quarter, that was giving us €30 million of lower depreciation expenses. So all in all, this supports what the Chairman has been commenting.
Ignacio Cuenca Arambarri: Next question is related to the blackout of Monday in Spain as an unprecedent event. Could you please give us your opinion on what caused it and if it is possible that an event like this happening in Spain again?
Ignacio Sanchez Galan: So the reason of the blackout must be clarified by the responsible of the system operator, Red Electrica de Espana. I think I have my own ideas as an engineer, but I think here it's not the question of engineer to engineers. I think the system operator has to have the clarify because they are the responsible of this one. What I can say is that before, during and after this blackout, our generation fleet was ready and at the disposal of Red Electrica to system operator to enter an operation as soon as we received the instruction from the system operator. And I think in our people, as I start -- mentioned already, did a great job working and restoring a service, which normally takes longer period in a very, very short period of time. So I think I would like to set again to congratulate, recognize the work already done by more -- almost 2,000 of our employees dedicate a huge effort to restore service, which is as you mentioned an unprecedented situation.
Ignacio Cuenca Arambarri: Next is related to the business in the U.S. Has the recent measures taken by Trump's administration change your view on the country? Can you please provide your view on the future of renewable projects in the U.S., including the IRA?
Ignacio Sanchez Galan: We have been in the U.S. for more than 20 years. I mentioned several times. We have increased investment with all the administration during -- also during the previous Trump administration. Today, we have more than $50 billion in assets in the United States. We are present in 24 states. And in distribution, we are in New York, in Connecticut, in Maine and Massachusetts and serving almost 10 million Americans. So I think we have a very deep presence in the United States. Since the last election, we have invested more than €6 billion in the United States, including €2.5 billion in Avangrid minorities and €2 billion in the capital increase that we make afterwards. More than $1.5 billion in organic investment, almost $1 billion in the last three months, making the U.S. our first investment destinations, as I mentioned before, together with U.K. Over the last months, I had the opportunity of meeting Secretaries of Interior and Energy and then the Secretary of Energy as well. And all of them said, clearly, the U.S. is totally focused in promoting infrastructure investment. And this will -- this will drive massive investment in Networks. I think that is our main business is Networks. 80% of Avangrid result come from Networks. Huge opportunities in this segment. I think we are expecting more than $20 billion up to the end of the dedicated in New York, Maine and Connecticut for already investing in the grid, in the infrastructure. And as well as they need more power generation. And this power in this moment, we have 10,000 megawatts in operation with production sold through long-term PPAs, high quality, a very good, let's say, pipeline for making more. We will make more power or less power depending on the market condition. If the market conditions are attractive, we will invest more in power. If the market condition not attractive, we'll invest less. But I think the ambition of the American government and the American official, I had already met is that their welcoming investment either in power, either in new infrastructures. And we are specialist in infrastructure, where we are very, very well located in the country.
Ignacio Cuenca Arambarri: Next is regarding the U.S. too. Despite the slide we've shown, do you have an estimation on the impact in your accounts of the new tariff that the U.S. are imposing?
Ignacio Sanchez Galan: As I mentioned, the new tariff is not impacting our results. I think the impact in terms of CapEx. The impact in CapEx is very limited. It's less than 1%. Our total group planned investment in 2025. So this impact is fully covered by our standard contingency in all the projects, allowances. And we have also agreements with our suppliers to reduce this amount in an important manner. I think the numbers I shared with you before in generation and in power, matching impact is $130 million. It's less than 10% of the total investment plan in United States, and we expect to reduce that by -- the final impact will be much lower because of the agreement we have with suppliers. In the case of Networks, I think no impact. First because 99% of Networks purchased are local, but also I think whatever cost is protected by a pass-through in the rate cases. And I think in the case, I think those are the main things.
Ignacio Cuenca Arambarri: Next is regarding the energy production and customer business in Spain, basically, that has had a lower contribution in this quarter than last year. Can you provide some color on how it will contribute along the whole year?
Armando Martinez Martinez: Okay, so in January and February, we have lower hydro and wind production, so we have to purchase electricity in the market. The situation has improved since March, and we expect this performance to improve over the year. As the Chairman has said around 4 gigawatts of new capacity to come into full operation along the year and very good hydro resources in March and April, allowing us to have reserves of 9 terawatt hours and also better wind factor.
Ignacio Cuenca Arambarri: Next is, do you expect any impact on your offshore projects in the U.S. from the U.S. government decision to stop the construction of several offshore power plants from competitors?
Ignacio Sanchez Galan: I think the construction is progressing well after some incidents we have already had in the last few months, a technical incidents. We expect to have finalized before the year-end. In this moment, we have several turbines exporting energy to the grid. So I think it's in operation partially. And we have almost one-third of almost a bit more full in sporting electricity by summer. And we are confident that I think that will be fully completed by the year-end and their relation with BOEM is very fluent in this moment.
Ignacio Cuenca Arambarri: Regarding the nuclear debate in Spain, there is any change or any new news on it?
Ignacio Sanchez Galan: So I think I repeat systematically. I'm already in a nuclear engineer. And I think as an electric engineer and already I repeat that many times, the nuclear plant in Spain are efficient and are safe. And also, not only efficient and safe, but as well, according with the recent report published by PriceWaterhouseCoopers, they are the least expensive solution to secure system stability. So for the reason, countries like France, U.K., Germany, Europe and in other countries in United States or Korea or Japan or China and others are already just beating on them. In any case, and I would like to encourage that one, energy policy is responsibility of the government. I think we are already following the decision the governments are taking. So the fact, I think last week, as probably you know, it was in London, a Summit, Energy Security Summit, organized by U.K. government and International agency with the presence of the Prime Minister of Britain, representative from 60 countries and even the President of the European Union Commission as well. And the ministers and the members of this -- the different delegations were debating the different countries' policies to secure the energy supply in their own countries. I think that is clearly the energy policy is responsibility of the government, and I think we have to follow the instruction of those -- of the policies with the government side but the final responsibility is government responsibility on the energy policy.
Ignacio Cuenca Arambarri: Next is about the U.K. and the pricing that could be always been talked about these days. What is your view on this subject?
Ignacio Sanchez Galan: As well in the last week summit in London of Energy Security Summit, I had the opportunity talking with Secretary of Energy, Ed Miliband. I had the opportunity of meeting Prime Minister, Keir Starmer. And I think all of them confirm that the most important thing for the country is growth. And for growth, they need to attract investment, to foster this economic growth. That is the top priority for the government and for that stability, predictability and attractive regulatory framework is absolutely crucial. I think that was insisted in public and private for all people, not only the British government. It was said the same thing as well by Ursula von der Leyen, It was said by different ministers attending the summit. The CEO of Ofgem also recently said in a speech the U.K. regulator is aware of the risk of pricing for investments. So I think duly both things, I think, is in this moment. And for duration, in my opinion, I don't think that, that is a priority and I do not expect this reform will be implemented in a short term or even implemented in the long-term as well.
Ignacio Cuenca Arambarri: Next is, can you share details or new details about the new regulatory framework for Networks in Spain?
Ignacio Sanchez Galan: As far as I know, the process continues going. We expect to be finalized before the year-end. I think that is the expectation we have. Nevertheless, I think in the countries, what we are present in Brazil, United States, U.K., which represent more than 90% of our regulated asset base, our increasing investment plan and modifying remuneration models to make them more attractive. And I think I expect that Spain will do so as well. So I think all countries is already asking for more investment. All countries are already making already regulated -- regulatory framework more attractive. You saw already what has already happened in Brazil in the last review of Pernambuco. And I think it's because everybody is willing to invest more there. I think it's -- investments are needed, but I think we expect that Spain is going to do the same thing as well as we've been done in rest of the countries. Nevertheless, I said that 90% of our regulatory asset base is in different countries than Spain at present.
Ignacio Cuenca Arambarri: Last question is related to the estimation of the impact of the FX in our accounts. And if we can provide some information on our hedge strategy on FX as well?
Ignacio Sanchez Galan: Pepe?
Jose Sainz Armada: Well, as you know, we traditionally hedge our results in the year. So basically, right now, at the net profit level, we are not expecting any impact. We have been able to hedge the results, especially in the dollar at very good levels, as you have seen that generates some derivative capital gains that we have shown in the third -- in these results. So basically, we have -- we are fully covered at the net profit level.
Ignacio Cuenca Arambarri: Having finished the Q&A session, now please let me give the floor to Mr. Galan to conclude this event.
Ignacio Sanchez Galan: Thank you very much, as always, for your participation in this call. Our Investor Relations will be, as always, ready and available for any additional questions you may have. Thank you very much, and see you soon. Thank you.